Operator: Ladies and gentlemen, welcome to Capgemini 2018 Full Year Results Conference Call. I now hand over to Mr. Paul Hermelin, Chairman and CEO. Sir, please go ahead.
Paul Hermelin: Thank you, operator. Good morning everyone. I am delighted to welcome you here today. I am here joined by Aiman Ezzat and Thierry Delaporte, our two Chief Operating Officers. By Rosemary Stark, Chief Sales Officer; and Carole Ferrand, our CFO. 2018 was a great year. We demonstrated once again our ability to improve profitability while delivering sustained growth. We are pleased to announce that we've achieved all our targets. First, let's look at our revenue guidance in each one we guided you for a gross between 6% and 7%. At the end each one we rose a little bit and again in Q3, ultimately we outperformed our revenue grew by 8.1% at constant currency with the fourth quarter at 7.8%. With these results we have now met or meet our organic growth target ahead of schedule. The transitioning of our portfolio continues at the rapid pace. Our revenues in Digital and Cloud represents 45% of revenue, and I'll come back on this little later. We also continue to improve our profitability. We delivered another 20 bps of margin expansion compared to 2018 now reaching 12.1% and our cash performance is above the €1 billion objective we set a year ago, reaching €1.16 million. Finally, our normalized EPS is at €6.06 adjusted for the transitional tax expenses. A level close to that reported in 2017. These great results are overall satisfying because we've been able to deliver them while transforming heavily the group. Last year we reinforced group with two strategic priorities that we presented to you during our Capital Market Day last November. We decided to deploy changes in our organization and the other responsibility of Aiman and Thierry. Our first objective is to get group fully centered on client and what we call our unified go-to-market, so that all account manager are incentivized and measure to sell the whole end-to-end portfolio of the group to our clients. Aiman transformed the go-to-market what used to be the exception in Capgemini only apply to specific account is now the norm. We have now more client facing people with in-depth sector expertise and understanding of our client business issues. More people able to interact with the full CxO suite. We are working on duplicating this in key sectors like consumer product and retail or automotive. The successful setup that we already have in the financial sector, which by the way outperformed clearly the competition last year. Our second objective is to continue to accelerate the rotation of our portfolio. Thierry established a dynamic organization to stay on top of market evolution at the forefront of innovation. He selected specific offers and bid to global network of competent centers, focus on two things, improving our win rate and upgrading the quality of our delivery. Of course, we continue to leverage our strong offshore capabilities for both innovation and profitability, notably in India where we have now clearly over 100,000 people when we reached 106,000 people. This portfolio evolution is managing close collaboration with our ecosystem of partner; among them we chose four strategic partners, AWS, Amazon web service, Salesforce, Microsoft and SAP. We made outstanding progress with them. You all remember, the buoyant declaration the Salesforce, Head of Sales in London, but we are now Microsoft's six partner and the fastest growing while we were not even in the Top 10 a year ago. On the acquisition front in the past year, LiquidHub in the US, Adaptive Lab in UK, June 21 in France and doing in Italy, we further strengthened our capabilities in customer engagement ,digital marketing and design. You know corporate social responsibilities are key priority for us; we made progress on our three priorities, gender diversity, environment sustainability and our last pillar, digital inclusion. We are proud to contribute to reducing the digital divide. We help a growing number of people and this is building enthusiasm and motivation among our people, that's how we are building a genuine leader for leaders. If we look at the market to the market outlook, let's look at little bit inside the group and let me share a vision of the market for the coming year. First digitization is there and looks unstoppable. Everywhere business executive need partners able to identify test and industrialize innovation. This is a need which goes beyond typical macro cycle notably in areas like such as digital manufacturing, digital operation and marketing. We continue to see solid appetite from CxO for technology. Second, the CIOs or historical clients start the year apparently we do solid budget about the same than last year, be it for innovation or for cost competitiveness, the demand is there. Overall, in what we will probably a less buoyant economy, we see a strong appetite for technology everywhere with data at the core of all our discussion with client. Finally from a geographical perspective, we see a good start in Europe with strong momentum in digital cloud and S1 HANA. Although, we expect some slowdown in sector as automotive and retail and in the UK we see a good traction in public sector and some hesitation in private sector at this stage. In the US, the overall market looks good but of course we no longer take advantage of the full extension of the McDonald contract and of the LiquidHub acquisition. Finally, we continue to see a good market in emerging countries and in Asia Pacific as well as Latin America. Our strength to thrive in 2019, I want to highlight few of our strengths that will help us in 2019. First, we will reap the benefit of our reinforced unified go-to-market. It went live last year. Now is the time to reap the reward. We see more collaboration and we see new multi tower deals showing up in our pipeline. More strategic dialogue across the C-Suite, larger deals and more growth of our tough strategic accounts. Second, we will develop further and align further our portfolio management. We sell the new everywhere and of digital and cloud will rapidly pass the 50% mark as a percentage of our revenue. We will also drive further our sector based approach to getting close to business clients. Third, we have an ambitious industrialization agenda. A few months ago Capgemini was ranked number two by HFS across all robotic process automation service providers. A clear recognition of our technology leadership and intelligent automation and RPA. We will go further in these domains. Finally, all this is about people, talented people is an industry challenge today. We are working actively and enhancing our attractiveness as an employer to hire and retain the best. We are now at the forefront of interactive management thanks to introduction of digital tools, combined with relentless effort to train and reskill; this will have a strong positive impact this year. So we technically expecting an ability to anticipate business challenge. We are ready to grow fast, faster than the market and improve our profitability. Consequently, I now turn to our outlook in 2019. Confident that our key strength and solid financial performance will support our success in 2019. Our objective is to achieve a revenue growth at constant currency between 5.5% and 8%. We expect to have M&A contribution to this growth of 1 to 2 points. The low end of constant currency outlook assumes around 1 point of M&A. We are laser focused on our margin and we intend to continue to expand our operating margin to be between 12.3% and 12.6% in 2019. Finally, for 2019, we expect an organic free cash flow for the year in excess of €1.1 billion, or €1.15 billion into 2018 definition of the free cash flow. With that I now hand over to Rosemary Stark, our Chief Sales Officer.
Rosemary Stark: Thanks, Paul and good morning, everyone. Looking at our strong sales momentum, we realized bookings of €13.4 billion into 2018, that's 9% increase year-on-year in constant currency. Q4, 2018 was a largest ever quarter at €3.9 billion and a strong finish to the year. We see a continued shift in cloud and digital and cloud and digital bookings accounted for 49% of 2018 booking. This is supported by the acceleration of their business with two key public cloud partners. And in general, working with partners account for an increasing proportion of their business. 2019 starts with the strong pipeline and we currently we have more than 11% year-on-year growth in pipeline. Our unified approach to client is definitely paying off and we are seeing that strong pipeline growth in key sectors, Consumer Goods and Retail, Manufacturing and Public sector. Moving on to look at revenues. With the similar growth trajectory in revenue with 8.1% growth year-on-year, again in constant currency. So let's have a look in more detail of where that revenue growth is coming from. As you can see here, consumer products and retail had a strong year with 16% year-on-year growth. This is fueled by North America, our largest consumer products and retail business, which is growing by more than 30% in 2018. There is also strong double digit growth in France. As Paul mentioned, financial services was 9.1% revenue growth year-on-year continues its excellent growth trajectory especially in North America. Energy and Utilities grew by more than 12% in both France and the UK and had a very strong Q4 finish at 9.1%. Despite some challenges facing some of our automotive clients, our manufacturing business grew by 7.3%. This is fueled by cloud and by ERP transformation and an increasing demand for digital manufacturing and engineering services. And growth was notable in France, in Europe and in Asia Pacific. Public sector delivered a Q4 year-on-year growth of 11.2% and we see strong demand across Europe and a good pipeline of public sector projects developing for 2019. Telco, Media and Entertainment remains flat. Looking at some of our wins. Many of our 2018 wins demonstrate the key role that Capgemini plays as the bridge between IT and the business really enabling successful digital transformation for our client. Our clients continue to drive digital services deeper and faster across the businesses. So let's look at some of these examples. For Enel's energy distribution business in Italy and Spain, Capgemini is developing and will also maintain infrastructure and network system and processes and crucial digital control systems operations. In Financial services, with ABN AMRO, we continue to extend a digital delivery across the whole range of digital project delivered through agile at scale. We've also won a five year contract renewal with La Banque Postale to support the work play service centers in France and in Poland. In Manufacturing, Capgemini is being chosen as the new S4HANA transformation partner for a global chemical industry leader and we start with a rollout in Asia Pacific for a major automotive client and a large transformation of the delivery model and we are implementing a scaled agile approach with them and a distributed delivery model. It brings a new level to direct customer collaboration for both the client and for Capgemini team onshore and offshore. And in the services sector, we continue our cloud successes. We are helping Lloyd's Register with their transformation into a digital business migrating their applications and their infrastructure to the cloud. Moving on to Consumer Product and Retail. Let me illustrate hour our unified approach to clients is driving success in the luxury goods market. With seventh of the world's ten leading luxury good brand as our clients, we are positioned to be a leader for leaders in the coming --and we are covering whole range of business and technology challenges with these clients. In this sector, outstanding customer experience is just expected, it is mandatory. So luxury goods customer demand a seamless experience across channel, really looking for a genuine only channel experience. To support this for one of our clients, we've recently developed the facility to try a specific customer can move around the store for the purchases and then how they use social media effectively to show off their purchases. It is an interesting example how to bring together in-store and digital experience and deliver insight on customer behavior not just before the purchase but also afterwards. And we are combing consulting experience, behavioral analytics, deep AI based data sign skills to mine social networking sites for this insight. Using these capabilities together, we've developed this idea for the client from the concept through the business case and helped delivered the solution. We are also delivering technology enabled business advantage in many other ways in this luxury good segment and this range from global e-commerce solution, smart customer engagement platform, and agile deployment scale and of course close migration. In this market cloud is absolutely the norm and it's critical to support this fast paced businesses. Now please let me hand over to Carole who is going to cover our financial results.
Carole Ferrand: Thank you, Rosemary and good morning, everyone. Let me first highlight our key financial achievements in 2018 which proved to be very good year for Capgemini. We did revert to superior growth and maintained our margin expansion. This is fully in line with the objective discussed during our capital market day. First, we grew our revenues by 8.1% at constant rate substantially over 6% to 7% larger target that have been set at the beginning of 2018, and in line with our raised target of above 7.5%. As Paul explained, we clearly benefit from structurally positive trend, which translated into solid 6.2% organic growth. The group's growth impact stood at 1.9 percentage point in line with our capital allocation policy. Second, our operating margin increased to 12.1% of revenue, up by 20 basis points year-on-year as targeted. We are pleased to see that all our regions are now standing above 11%. This performance demonstrates our ability to find the balance between sustained growth and continuous investment into innovation and our offerings portfolio. Finally, our organic free cash flow reached €1,160 million for the period substantially above our objective to generate an organic free cash flow of €1 billion. Going forward, we expect our organic free cash flow to continue to largely exceed our net proceeds which demonstrate the current liquidity of our earnings. Let me now go through the key other aspect our P&L. First, let me remind you that all of 2017 figures included in this presentation are restated for IFRS 15. Group revenues reached €13,197 million in 2018, up 5.4% year-on-year after taking into account the 2.7 points of currency headwind. With the 20 basis points of margin rate expansion, the operating margin increased 7% to €1,597 million in 2018. After accounting for the other operating income and expenses, our operating profit stand at €1,251 million, up 6% year-over-year. Income tax expenses increased by €144 million to reach €447 million. This take into account the anticipated increase in underlying effective tax rate that also a higher transitional impact of the US Tax Reform at €53 million. As a result, our net profit group share decreased to €730 million in 2018 compared to €820 million in 2017. Adjusted for the transitional US expense, our normalized EPS amounts to €6.06 for 2018. Finally, our organic free cash flow increased by €80 million to which €1,160 in 2018. This represents an outstanding 33% cash conversion, 73% cash conversion of our operating margin and 160 of the net income. Looking now at the evolution of our organic free cash flow. It reached €1,160 million above our target of €1 billion. In 2018, our organic free cash flow benefited from €65 million reduction in working capital, driven by - to the improvement in DSO. As discussed at the Capital Market Day, we will continue to tightly manage our working capital requirement, but obviously you should not factor that we can get two extra days of DSO gain in 2019. 2018 basically illustrate our capital allocation framework. We've redeployed all our free cash flow generated the previous year, while keeping the balance pattern. Acquisitions namely LiquidHub and Adaptive Lab June 21 and doing representing net cash outflows of €461 million. And we return a net amount of €580 million to shareholders. This amount combines dividends for €284 million and buyback of €464 million led the €230 million of net capital increase for employee share ownership program. As we've redeployed essentially all our free cash flow, net group debt is almost stable at €1,184 million. Let me pause there for a couple of worlds IFRS 16 which is applicable since January 2019. Always easy, operating the ease and financial ease, we will now be accounting the same way. This is pretty neutral for the operating margin and the net income which is very different for the organic free cash flow. There, there were left two options. One, keep the definition unchanged and leave the reporting for cash flow by more than €2 million as we would do exclude our lease payment. Or two, take all these payments as operating including the €50 million that we've previously accounted as finance lease payment. To minimize the distortion on our free cash flow, we went for the second option and we will account all these payments as operating items starting January 2019. So if we were to rebase 2019 for the change in definition, the organic free cash flow would stand at €1,108 million. Moving on to revenues. Despite the IFR comparison basis, we managed to keep our momentum into Q4 with the constant currency growth of 7.8% and an organic growth of 5.7%. The currency headwinds faced in the first nine months of 2018 disappeared in Q4 and reported growth was equal to constant currency growth. For the full year, growth was reversed at 8.1% at constant currency. Taking into account the group's scope impact of 1.9 percentage point, the organic growth stand at a solid 6.2%. Over 2018, the currency impact on revenues, shield by US dollar weakness against the euro was negative at minus 2.7% point and the reported growth was therefore of 5.4%. So we achieved overall a very good performance in 2018. All the more that the comparison basis was better compared to the end of the year and we actually continue to be in H1 2019 especially in North America before easing in H2. Looking at 2019, acquisition should bring 1 to 2 percentage points of incremental revenues while FX impact on revenues is expected to be at the stage slightly positive by 0.5 to 1 on a full year basis. Let's now move on our revenues by region. As usual, I will focus my comments on constant currency variations. North America was our most dynamic region with the 14.4% revenue growth. Our strong has been shield by our investments and was further lifted by our bolt-on acquisition in digital consumer good - and digital. Consumer good retail, financial services and manufacturing sectors were the main contributors into this platform. In the UK and Ireland, we returned to growth in H2 as planned, actually even a little stronger than initially planned. With this our revenues are almost flat year-on-year. The private sector was notably flat by financial services and energy and utility while the public sector posted positive growth in H2 after the anticipated decline in H1. France recording a robust 6.4% with great performance in application services and double-digit growth in consumer good and retail and energy and utilities sector. In the rest of Europe, all our main countries are up year-on-year. This region is up 6.9% in 2018 with Germany and Scandinavia close to double-digit. Apart from the telecom sector, all verticals benefited from a good momentum with revenue growth ranging from 5% to 10%. Please note that the lower growth observed in Q4 is primarily due to high comparison basis generated by 11.3% growth recording in Q4, 2017. Finally, Asia Pacific and Latin America revenues grew by 6% in 2018. Asia Pacific benefited this year from acceleration in the manufacturing sector and Latin America fueled by another strong performance in Mexico returned to growth. Looking now at our revenue by business. Overall, our Q4 has been in line with the trend book serve since the beginning of 2018. Consulting services posted a remarkable 37.4% growth over the year, while acquisition has obviously contributed to this performance. We also benefited from a good momentum in many geographies. Technology and engineering strategy reported a 5% growth in 2018 with all regions led by North America and UK contributing. An applications service keeps benefiting from an outstanding demand for digital and cloud and is about 10.1% growth in 2018. Our all - our main sectors have reported gross rates close to above 10%. Lastly, our managed services are down by 4.2%. This negative trend reflects adverse marketing condition in our business process outsourcing activity. Under infrastructure services, after the marked decline in each one primarily driven by the UK public sector, the construction has been much more limiting in nature. France saw a strong growth in cloud integration and orchestration services. In France, strong progress has been made but the transition is not yet really higher. As a side note, you may remember that we had mentioned during our Capital Market Day it tends to come in the way report our activity by business. You will find in the appendix a slide which explains the new reporting format to be an applied from Q1 2019. Moving now to the headcount evolution. Our total headcount is a little over 211,000 employees at the year end. This represents a 5.8% increase year-on-year below our constant currency gross in revenue, which implies that the revenue per head went up again. The workforce in our global production centers grew 6.7%, primarily driven by the increased demand in Continental Europe. Overall, our offshore leverage is up 1 point roughly the same pace as in 2017 and stand at 68%. As discussed in Q3 and as experienced by other market players, the attrition rates went up in 2018. It now stands at 22%, up by 3.1 points year-on-year. We are considering that major stakes in H2 will enable us to reverse progressively this trend in 2019. Now moving to our operating margin and let's have a look first at our performance by region. In North America, our operating margin was essentially flat year-on-year minus 5 basis points at 13.6%. As planned, the operating margin which showed some improvement in H2. In the UK and Ireland, our operating margin decreased as expected and stabilized at 12.6%. You may remember that our currency aging provided boost in 2017 so we got the reverse impact in 2018 and into a less favorable business mix. In France, our operating margin has improved by more than one point at 11.1%, over the last three years the margin in France excludes the big part of the GAAP into group coverage. The rest of Europe is also improving with an increase of 80 basis points year-on-year to reach 13%. Lastly, thanks to the priorities successfully set in LATAM to return to profit, the operating margin in Asia Pacific and LATAM improve by 270 basis points year-on-year at 12.8%. In terms of margin by business, the operating margin of consulting services is up 160 basis points to 12.9%. The technology and engineering services margin is slightly down to 13.2%. Application Services profitability is improving with an operating margin up 50 basis points at 13.6%. Finally, the operating margin of other managed services remains under pressure, down 100 basis points to 8.7%. Overall, the profitability of our digital start tends to improve as we get scale. This support performance of the two business lines, most presently quarter by digital transformation demand, consulting services and application services. Moving on to our operating margin by destination. Let's start with our gross margin, which recorded a net stable year-over-year improvement of 40 basis points in H2. For the full year, gross margin is up by 10 basis points. Our selling expenses as a percentage of revenues were down by 20 basis points. This certainly reflects our increased focus on our sales efforts efficiency and it's consistent with our more efficient unified go-to-market. Finally, general expense is remained under control with a minor increase of less than 10 basis points. Moving on to the next slide. Net financial expenses are slightly up by €8 million year-on-year. Income tax expenses are up like €144 million general year-on-year as discussed earlier with the latest information issued by the U.S. tax authorities late 2018 and early 2019. The transitional impact stands at €53 million instead of the €40 million we had initially estimated in July. Setting that aside, our underlying effective tax rate is up to 33.7% so slightly more than anticipated. Which reflect something similar or maybe slightly up in 2019? In the near-term, we think that our ETR should go down around 30%. On top of that and based on the latest information available, we now estimated that the transitional impact will amount in 2019 to some €60 million in the P&L of which some €25 million with be cash items. Finally, let's go through this recap of our P&L from operating margin to net income. Our operating income and expenses increased €36 million to €346 million in 2018 mainly due to higher amortization of our M&A intangible. The mechanical increase of share based compensation expenses to this - to due to the share price increase in recent years and some nonrecurring reorganization charges including in line of other cost. On the other hand, our restructuring costs are down roughly €10 million to €122 million. We expect to bring them down to around €80 million in 2019. Overall, our operating profit is up 6% by to €1,261 million for 2018. Net profit group share amounts to €730 million down €90 million from 2017 because of the higher tax expense. With our share buyback policy, the weighted average number of outstanding shares is down this year again by about 1 million with 48 basis EPS stand at €4.37, our normalized EPS stands at €5.74 and €6.06 when were stated for the transitional U.S. tax impact. Let's know quickly review our 2018 returns out in the respect of the priority set that for the last year. Broad base growth is certainly a key feature of 2018 performance. The rotation of our business to digital and cloud not only continued attractive pace but also we are pushing for more vertical offers, with Thierry's initiative on the portfolio. We've also maintain our margin expansion trajectory and our top tier cash condition. Finally, with full year redeploy our cash flow, while maintaining the balance between returns to shareholders and reinvestment in the business through M&A. For 2019 with our strength in go to market and active portfolio management, the focus will be to maintain and evolve market growth profile to confirm our ability to reach medium term operating margin ambition and deploy our strong cash flow in a balanced way. And with that, we are now ready to take your questions.
Paul Hermelin: Operator, can you help us with the questions?
Adam Wood: [Technical difficulty] organically versus 2018.
Paul Hermelin: Adam, we miss the words.
Adam Wood: Hi, sorry, first of all thanks for taking the question. Just on the on the outlook for 2019. You are guiding to relatively small slowdown versus 2018 and obviously there are a lot of macro concerns out there. I wonder if you could just talk a little bit about what you're seeing with customers, IT services is generally seen as quite late cycle sectors, a lot of people would say you'd be one of the last groups to see a potential slowdown, but what companies telling you around, that spending on digital and their plans that gives you the confidence that this technology cycle really can offset weakness on the macro. And then maybe secondly, just on the M&A. I think this is the first time you've actually assumed an M&A contribution in the guidance. Could you just talk a little bit about where you are on that? Does that imply that you have very firm plans and you're close to executing on a number of transactions? Or is that just a change in the way that you're going to guide in future? Thank you.
Paul Hermelin: On the first question which is the economic environment, today, the demand is there, the pipeline is growing, we are of course very conscious that an economical significant slowdown would have an impact today. We do not see it and I would even add that we see a growth of large deals in the pipeline, pretty large, I mean sizable above 500. So possibly I see I things I'm raising the bar for this challenge. So slowdown might also be the opportunity of some large cost oriented deal that would help us grow. So today that explains the guidance which we do not ignore at all and we watch with care in economic environment. Now on M&A the fact if you remember Aiman and I, we said we are look at half of our free cash flow to bolt-on acquisition and that will deliver between 1% and 2% of external growth, so we took 1% in the conservative guidance, we took 2% in the more bullish guidance, but it's the same direction 1% to 2%, it's in line with what I think Aiman shared with you when we talk about the total shareholder return. So before even Carole join the group.
Operator: Thank you. The next question comes from Stacy Pollard from JPMorgan. Please go ahead.
Stacy Pollard: Hi, thank you, few questions for me, just the UK growth in Q4. Could you - you may have mentioned it, but can you split the public versus private? And then what your outlook for 2019 is on that one? Secondly, what was the underlying growth in consulting maybe if you excluded acquisitions just so we can get a sense of the trend there? That's those two please.
Paul Hermelin: So on the UK, we will not because then we would have to decompose HMRC the rest of the public sector and we will not do that, but it's clear that to the in the spring and late winter and early spring of the UK where are still some optimism on UK growth, the public sector is clearly better than the rest we see agitation in several vertical segments. On the consulting theory. Yes. On the consulting side, the underlying growth in 2018 was double digit solid activity across organization.
Operator: Thank you. The next question comes from Michael Briest from UBS. Please go ahead.
Michael Briest: Thanks. Good morning. A couple for me as well. 2018 I think you added about a point of offshore leverage the same as in 2017. But the rate of increase has slowed quite a lot and we're beginning to see revenue per head actually grow year -on- year. Is this a trend you expect to continue in 2019 and beyond given this to make shift towards digital and maybe some more onshore activities. The second one is around the sort of attrition. It is still relatively elevated where you on sort of salary awards and your management of the cost space and the balance between hiring and letting the attrition rise and then just a quick follow up for Carole in a moment.
Paul Hermelin: So on offshore, Michael, significant contrast between the first half and the second half. In the first half, our headcount in India was rather stable and with a good growth in HW. So and it looks like continuing trend and notably, if you opt for the economic slowdown, you would think that costs obsession will come back which we should push offshore again. So I would not be too negative, I think we are planning sort of the mid single digit growth in India and maybe more. In spite of automation where we accelerate. On attrition, two points, it's clear that salary guidance have been a little higher in Europe, in western countries, we work on the India adjustment because as you know, it occurs on April 1 so, we are just starting on that we look at the competition and what we do. But overall the goal still to have salary adjustment being at absorbed by the renewal of the pyramid. The main concern as we share before is more with hot talent, digital talent because there the attrition is high and there if I speak of cyber security or digital talent, there the salary adjustment are significant and we have spoken about the profitability of renew. It's clear that we sign with better contribution margin; the cost of salary is higher in that segment. You had a special question for Carole, Michael?
Michael Briest: Yes, it was just on the tax rate. I think the adjusted tax rate was 34% for 2018. So the EPS was a bit below consensus, what are you expecting going forward on tax rate do they come back towards 30% or?
Carole Ferrand: Indeed as you know, the environment may that but the tax local regulation is quite unpredictable today. So what we see is that the transitional impact of the U.S. Tax Reform will be --will have faded in by 2022. What we expect in 2019, as I said is traditional impact of the US Tax Reform about €60 million, €25 million being cash item and we do expect a tax rate going to 30% in around 2022.
Operator: Thank you. The next question comes from Laurent Daure from Kepler Cheuvreux. Please go ahead.
Laurent Daure: Yes. Thank you. Good morning. So I have two questions. The first one is on your margin guidance, which is quoting for exactly larger expansion on average this year. Is it just reflecting the lack of currency headwind this year or is it something more structural and in marginal returns all the regions have now reached margin over 11%. So I was wondering where the improvement is going to come from on a regional basis. And the second question is more clarification on, one, and influential concerning the growth in 2019. You mentioned the possibility to win some large deals. So how much of this is included in your guidance? Thank you.
Paul Hermelin: So, Laurent, good morning, first on the margin, we think we have now reached a decent level. But Europe at - France at 11%, that's not the end of the journey. We told you the second half margin in North America was better than H1. So, we hope to continue. So that will help us and reach what I regard as modest increase, but we now enter our targeted zone of 12.5 but we are very close, we try to enter that target. So now we have reach or mid-term organic growth target and we are soon ready to reach all return margin guidance. On 2019, no, we just pointed that, if they were alarms on the classical demand, it could be compensated. There are no bets in our guidance or revenue from our yields.
Operator: Thank you. The next question comes from Neil Steer from Redburn. Please go ahead.
Neil Steer: Hi. Thanks very much and thanks for taking the questions. Just two quick ones. Firstly, you could you just the dividends maintain. Could you just give some context for the decision there? And also, I think, Paul in your early remarks. You commented that the UK there had been signs of hesitation. Could you say where that wasn't obviously, if you how significant that is at this stage. Thank you. I presume it's Brexit related. But if you could have some context? That will be great.
Paul Hermelin: Dividend is quite clear. We always said our normalize payout ratio is 35%. Maintaining the dividend leads us to 36%, which is clearly in line with our payout policy. So that's was pretty obvious. We often point to that retail as difficult vertical in the UK and because of the Brexit, because of the purchasing power of English consumers. We will wait for the rest, but clearly on the private sector, we do not expect a strong demand.
Operator: Thank you. The next question comes from Lucas David from ODDO BHF. Please go ahead.
Lucas David: Hi, yes, thank you for taking my question. Actually I have two. First one is regarding the U.S. You reported a solid performance by tough comps. Were you positively surprised there and if so where does a surprise come from and how it is sustainable for 2019? And my second question is regarding your sustaining of your growth in 2019 because your guidance quite clear, but I do expect to enter faster in the year then you'll end it on the contrary expecting your growth to be more back end loading due to comps? Thank you.
Unidentified Company Representative: Good morning, David. So answer your question regarding North America. Again North America in Q4 is more or less in line is what we expected. Remember that is fuelled by the McDonald's contract and by the acquisition of LiquidHub, which both contributed quite a bit still have good underlying organic growth in North America. We expect it to continue overall in 2019. Paul, you want to take the question on the start of the year or the fading of your growth.
Paul Hermelin: Clearly, H1 had, if you remember last year, the started year been somewhat better. We came with a good Q1. So I would be prudent to understand at this stage but we do not intend to guide the quarter, we will see the year developing.
Lucas David: Okay. Thank you. And maybe one for --very quick one to Carole, would you take a positive for its impact in your margin expansion for 2019? Thank you.
Carole Ferrand: As you know, we don't expect any positive or negative impact on the system in 2019. And as we always explained to you, I mean in terms of currency movements, they do reflect I mean the inflation base in the cost base. So at the end of the day if this are not decreased prices and that adjusting? So if there was a close relationship between currency movements and margin, then the Indian pro players would have seen their margin expanding over the last few years, which is not the case. So we don't make direct connection.
Operator: The next question comes from Charlie Brennan from Credit Suisse. Please go ahead.
Charlie Brennan: Great. Thanks very much for taking my question. Can I just ask a question about the overall pricing environment? A few of your competitors have started to talk about some sustainable positive pricing power in the digital area of your business as that gets a bigger proportion of the overall group, are you starting to see pricing as being a tailwind for growth, or is that still being offset by what's happening in the traditional side of the business? And just as an extension of that, can you talk about the competitive environment at the moment and where do you see competitors being more or less aggressive from pricing? Thank you.
Aiman Ezzat: Charles, this is Aiman. On the pricing, yes, prices in digital better. Okay. And we all know that but as Paul was very clear we also have higher cost of talented candidates hit overall could be tailwind for revenue, yes, because if our average prices increasing we basically benefit from that on the top line at the margin not have the necessarily positive impact on the margin at least in the medium term, yes, but in the short term because we have higher costs that come with it. So tailwind to revenue, yes. On the other side, if we talk about the pricing environment, it's very competitive. I think you shouldn't fool ourselves is basically on the nice deals. There are a lot of good players fighting for it. And it's always very competitive. Now very importantly is that we don't have the rational pricing behavior we had two or three years ago. So we have good competitive year when you have to fight on price but where you can earn good margin as well. You don't have to basically make huge sacrifices to be able to win these because some people are behaving irrational which I think for me is the important topic.
Operator: Thank you. The next question comes from Tout Alexander from Deutsche Bank. Please go ahead.
Q –Alexander Tout: Yeah. Hi, morning, guys. Thanks for taking the question. Just on the other managed services dynamic that you expect in FY 2019. You talked about improvements in on the infrastructure side versus the still tougher BPO situation what roughly is your ambition in FY2019? Can you do better than FYI 2018 and perhaps grow on that side of the business? And then just in terms of cash impacts, could you just clarify the cash tax rate that you expect in FY2019 and whether that's sustainable and then the restructuring expectation in FY2019 as well. Thank you.
Aiman Ezzat: So looking at the infrastructure and business process outsourcing, they both are been in transformation certainly infrastructure transformation journey started earlier towards a significant portion in cloud and cyber security, and we see growth happening. In business services, there's more transition to BPO business, more sector content, digital operations, automation, leverage and so on. We are in --we are through this transformation and it will take the year or two to get back to gross.
Paul Hermelin: Carole, on the cash impact of tax.
Carole Ferrand: So the cash tax rate should be around 20% next year.
Paul Hermelin: And the restructuring as we committed in July, we bring it back to €80 million.
Operator: Thank you very much. There are no questions.
Paul Hermelin: No questions I think. We met your appetite; we will meet many of you during road show and tech conference. So wish you a good first quarter and we'll meet again end of April for the Q1 results. Thank you, everybody.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you all for your participation. You may now disconnect.